Operator: Good day, and welcome to the Pure Storage First Quarter Fiscal 2026 Financial Results Conference Call. Today's conference is being recorded. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] At this time, I'd like to turn the call over to Paul Ziots, Vice President of Investor Relations. Please go ahead.
Paul Ziots : Thank you. Good afternoon, everyone, and welcome to Pure’s first quarter fiscal year 2026 earnings conference call. On the call, we have Charlie Giancarlo, Chief Executive Officer; Kevan Krysler, Chief Financial Officer; and Rob Lee, Chief Technology Officer. Following Charlie's and Kevan's prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. The slides that accompany this webcast can be downloaded at investor.purestorage.com. On this call today, we will make forward-looking statements, which are subject to various risks and uncertainties. These include statements regarding our financial outlook and operations, our strategy, technology and its advantages, our current new product offerings, and competitive industry and economic trends. Any forward-looking statements we make today are based on facts and assumptions as of today, and we undertake no obligation to update them. Our actual results may differ materially from the results forecasted, and reported results should not be considered as an indication of future performance. A discussion of some of the risks and uncertainties related to our business is contained in our filings with the SEC, and we refer you to these public filings. During this call, all financial metrics and associated growth rates are non-GAAP measures other than revenue, remaining performance obligations or RPO, and cash and investments. Reconciliations to the most directly comparable GAAP measures are provided in our earnings press release and slides. This call is being broadcast live on the Pure Storage Investor Relations website and is being recorded for playback purposes. An archive of the webcast will be available on the IR website and is the property of Pure Storage. Our second quarter fiscal 2026 quiet period begins at the close of business Friday, July 18, 2025. With that, I'll turn it over to Charlie.
Charlie Giancarlo : Thank you, Paul, and good afternoon, everyone, and welcome to our Q1 FY ’26 earnings call. Thank you for joining us today. Pure delivered solid performance in Q1, delivering double-digit growth within a dynamic macro environment. Our introduction of Fusion 2.0 last quarter has received an outstanding reception. Already, almost a 100 customers are using or testing Fusion to manage their data infrastructure. Customers are implementing their data management policies in software and applying their governance across their global data estate, ensuring consistent policy enforcement at scale and reducing human error. As I shared last quarter, our Fusion V2 software eliminates data silos, transforming fragmented storage into a unified enterprise data cloud. At our Annual Accelerate Conference, we will unveil how our latest innovations enable our customers to create their own enterprise data cloud, allowing them to focus more on their business outcomes rather than their infrastructure. This past quarter, we launched our newest FlashBlade, FlashBlade//EXA. FlashBlade//EXA will be the industry's highest performing storage platform for AI and high performance computing when it is delivered later this quarter. Traditional HPC storage was built for predictable workloads and demands ongoing tuning to deliver proper performance for different workloads. But modern AI environments require a wide variety of performance levels consistently delivered across tens of thousands of GPUs. FlashBlade//EXA delivers ultrafast data access with unmatched read and write bandwidth using a new disaggregated architecture, which scales effortlessly to support massive GPU clusters. And it provides the ease of installation, operation, management, and upgradeability that Pure is known for. Q1 was a strong quarter in our breadth of AI wins across customers and segments and across scale and use cases. First, we deliver industry leading high performance storage for public and private GPU farms, supporting small, medium, and large machine learning and training workloads. Second, as enterprises adopt inference engines and retrieval augmented generation or RAG to apply commercial large language models to proprietary data, they need storage infrastructure that scales non-disruptively and adapts to evolving AI demands. Third, AI is accelerating the push to modernize IT by breaking down infrastructure and data silos, enabling faster, broader access to real-time information. Unlike other vendors requiring different products for different use cases, Pure's unified platform handles the full range of AI workloads with simplicity and efficiency. Another topic on customers' minds is server virtualization. Two weeks ago, we announced a major agreement with Nutanix. This solution will integrate the Nutanix Cloud Platform with the Pure Storage platform, solving a major challenge in the current virtualization market. This joint solution provides a modern, scalable, virtualized environment, which is purpose built for high demand data center scale workloads. Our partnership will deliver a high performance virtualized environment, providing Nutanix cloud infrastructure with Pure's enterprise data cloud using Pure FlashArray storage. We expect the solution to be generally available later this year. Pure is helping customers solve their transition to modern virtualization in multiple ways: First, we are able to help customers reduce their costs of existing virtualization solutions through efficient CPU utilization and reduction of compute cores made possible with efficient Pure Storage access. Second, Pure Portworx supports a number of modern virtualization solutions, such as Red Hat OpenShift and other Kubernetes virtualization solutions, popularly known as KubeVirt. Portworx allows Kubernetes to automate both VM and container data management in one integrated orchestration model. Finally, Pure has also worked with Microsoft to integrate Cloud Block Store with Azure VMware service, AVS, to enable customers to be able to easily lift and shift their VMware workloads and data to Azure under Microsoft's VMware license. We are expanding this Cloud Block Store integration into a fully managed service available natively through AVS, which is in public beta now and expected to become generally available later this year. Our broad strategy is working. During the quarter, we signed multiple modern virtualization deals, two of which I'd like to highlight. First, a large modern virtualization win came from a global automotive manufacturer in a use case where downtime is not an option. This manufacturer needed to reduce costs and increase reliability at a large number of manufacturing sites. Moving to a new modern virtualization solution was a strategic decision for them. They also needed to migrate from their legacy system without disrupting production or risking data loss, and they wanted a platform that would scale in the future as they advance their software defined manufacturing initiative. By using Pure's storage platform alongside Portworx to unify both container-based and virtual machine-based workloads, the customer reduced the complexity of managing diverse environments and attained the high availability needed to keep operations running without interruption. A second notable win was with a global health care company facing a significant increase in infrastructure costs. They needed an agile platform capable of supporting multiple applications. Using the Pure Storage platform and Portworx with KubeVirt, we unified their operations with a single workflow across the company's application landscape and reduced their total costs. Both wins reflect a broader enterprise trend. Customers are moving away from legacy systems in favor of modern flexible infrastructure. Pure is at the forefront of this shift, helping enterprises redefine their data storage and management architectures. This strategic engagement drives deeper customer relationships and sets the stage for continued expansion across the business. Our hyperscale collaboration with Meta continues to advance. Production validation testing is on schedule with strong progress in certifying our solutions across multiple performance tiers. We remain on track to deliver our anticipated 1 to 2 exabytes of this solution in the second half of the year as planned. Earlier this month, Pure and Meta co-presented at the AtScale conference, highlighting how we are driving innovation in Flash storage for hyperscale environments. The presentation showcased why Flash is becoming a compelling storage option for a wider range of hyperscale data center workloads. I encourage you all to watch this session online to see the evidence firsthand. Yesterday, we announced a new collaboration with SK Hynix to deliver flash storage optimized for the energy efficient demands of data intensive hyperscale environments. With strategic partnerships now in place across Kioxia, Micron, and SK Hynix, Pure is actively shaping this emerging market. We are driving NAND technology collaboration to develop the industry and stay ahead of growing hyperscale demand. As we assess the macro environment, our near-term view for the year remains largely unchanged, although we are navigating increased uncertainty. That said, our consistent performance and disciplined execution will continue to set Pure apart as a leader in our industry. We remain confident in our ability to outpace the competition. We saw very strong Evergreen//One and Evergreen//Forever sales this past quarter. With tariffs top of mind for many companies, pricing of our Evergreen portfolio will remain unaffected by current tariff related changes. Pure's storage as a service offering, Evergreen//One, delivers the full value of our platform with Pure managing and maintaining the infrastructure with the industry's strongest service level agreements. In this uncertain tariff environment, our Evergreen model provides customers with pricing predictability, guaranteed SLAs, and a trusted partner committed to transparency. We are confident in our continued momentum to grow market share and strengthen our leadership in data storage and management. Before I turn it over to Kevan, I want to take a moment to share some organizational news that we included in our press release. After more than five years at Pure, Kevan Krysler will be leaving Pure to pursue a new opportunity. Kevan will remain at Pure until a new CFO is in place, ensuring a smooth and orderly transition. I would like to take this opportunity to thank him for his partnership and his dedicated and loyal service to Pure. Since joining Pure in 2019, Kevan has played a central role in Pure's evolution. He developed and matured our finance organization and reporting, led many strategic initiatives, and partnered with our functional leaders to improve their businesses. Kevan was a great partner to me navigating the COVID and supply chain crises, helping us to continually adapt to an extremely dynamic set of circumstances while growing the business to over $3 billion in revenue. He also led our transition to subscriptions, now roughly 50% of revenue. On a personal note, Kevan has been a trusted and valued partner to me. I am grateful for his thoughtful counsel, steady hand, and deep commitment to Pure's mission and success. Kevan, I wish you the very best in your new endeavors. With that, over to you, Kevan.
Kevan Krysler : Thank you, Charlie, for your kind words. I am grateful for your partnership and working with such a talented team over the years. It is a highlight of my career to have been part of Pure's growth journey, which I believe is only getting started. Okay. Let's get into our results. It was a solid start to the year with Q1 revenue growing 12%, driving $83 million of operating profit and achieving an operating margin of 10.6%. This performance reflects sustained demand for differentiated data storage portfolio, in particular, our E family solutions. Our storage-as-a-service solutions are also continuing to win in the market. Q1 TCV sales for our storage as a service solutions jumped 70% to $95 million, fueled by both large Evergreen//One deals defined as greater than $5 million as well as our higher velocity transactions. This momentum underscores customers' drive to modernize their infrastructures and lock in predictable SLA-based consumption models. Additionally, with our Evergreen//One storage as a service solution, any incremental tariff costs we incur will be absorbed in our continuously improving back end life cycle economics. As a result, customer subscription rates will not be subjected to higher tariff costs. Subscription services revenue in Q1 reached $406 million, up 17% and representing over half of total revenue. ARR grew 18% to $1.7 billion, while total remaining performance obligations or RPO grew 17% to $2.7 billion. RPO exiting Q1, encompassing our storage as a service offerings and renewals of our Evergreen subscriptions across our installed-base, grew 18%. This backlog reflects robust renewals and new storage-as-a-service commitments. In Q1, U.S. revenue was $531 million, growing 9%, and international revenue was $248 million, growing 21% year-over-year. We added 235 new customers, bringing our penetration to 62% of the Fortune 500. Total gross margin improved sequentially to 70.9% in Q1, anchored by subscription services margin of 77.2%. Aligned with our expectations, product margin rose 1.1 points sequentially to 64%. We continue to expect that product gross margin this year will settle in the mid-60s, consistent with our remarks last quarter. Demand for our E family solutions, including sales strength across our core offerings and moderation of QLC flash pricing are expected to be the key drivers of stronger product gross margin this year. This is also aligned with our long-term expectation for product gross margin of 65% to 70%. Operating profit of $82.7 million and operating margin of 10.6% were both aligned with our expectations, which is notable as foreign currency based operating expenses increased sequentially by approximately $8 million in Q1 due to the weaker U.S. dollar. Our headcount modestly grew to over 6,000 employees at the end of the quarter. Our balance sheet remains strong with $1.6 billion in cash and investments. Q1 operating cash flow was $284 million and our capital investments of $72 million included Evergreen//One deployments, scaling for the hyperscale opportunities, and development for our Fusion 2.0 solution. We returned a $120 million to shareholders through 2.5 million share repurchases and paid $61 million in employee award withholding taxes, offsetting 1.1 million shares. And we currently have a $152 million of buyback authorization remaining. Now turning to our guidance. We are reiterating our FY’26 revenue and operating margin guidance. We are pleased with the solid start to the year and remain confident in the fundamental growth drivers of our business while also recognizing elevated macroeconomic uncertainties that we expect to persist in the second half. For Q2, we anticipate revenue of $845 million, representing a 10.6% year-over-year increase. We also expect operating profit of $125 million and operating margin of 14.8%, highlighting as well that Q2 FY '25 operating expenses benefited from savings tied to our workforce realignment in Q4 FY '24. As a result, year-over-year operating expense comparisons will be against this benefit. In closing, we're proud to have delivered double-digit revenue growth, strengthened our margin profile and reinforced our leadership in data storage innovation. Our robust balance sheet and growing recurring revenue base sets the stage for continued execution of our strategic priorities. With that, I'll now turn the call back to Paul for Q&A.
Paul Ziots: Thanks, Kevan. Before we begin the Q&A session, [Operator Instructions] Operator, let's get started.
Operator: [Operator Instructions] Our first question comes from Amit Daryanani from Evercore.
Amit Daryanani: Kevan, it's been a pleasure working with you and best of luck in the future. So I wanted to ask you about the hyperscale opportunity and Meta obviously published a white paper on how they see this evolving from their end. And they call that Pure, I think, explicitly as a DFM software module partner. I guess from your perspective, from Pure's perspective, just any update on how this opportunity is evolving as you go from pilot to test to production. And how would you characterize your discussions with other hyperscalers as you go through this journey?
Charlie Giancarlo: Yes. Thank you, Amit, for the question. So as you might imagine, the -- Meta, unlike most of the hyperscalers takes about 1.5 years, if not 2 years to design our next-generation data center. It goes well beyond just the storage portion of it. It goes to compute, software, networking, all of the services that they plan to provide on that infrastructure as well. And so the -- if you will, the evaluation and the testing of the storage part runs along that entire process. It's not a separate process, but it runs in that process. That process is just about on time for Meta and it's proceeding along the path that we imagined really almost a year ago. It's pretty much on target. And as we go through that, we get further and further, first of all, they get further and further evidence of how well we work inside that environment. And we expect most of that to be done towards the -- in the second half of this year. That being said, as I mentioned in our prepared remarks, we believe we're on track to deliver the 1 to 2 exabytes that we identified during that time frame overall. And I would say we're also similar to last quarter's discussion about progress with other hyperscalers. I think we're making steady progress there about the pace that we expected. Hard to predict when one of those would turn into what we would call a fully validated design win. We are in some POCs that should be an indicator. But we like to have certain, if you will, guarantees or knowledge in place that we are fundamentally part of a next-generation design before we would say so in an earnings call such as this. So we think we're on track, but there's still more work to be done before we can declare victory.
Operator: Our next question comes from Aaron Rakers from Wells Fargo.
Michael Tsvetanov : This is Michael on behalf of Aaron, I wanted to ask about your newly announced XL offering, how should we just think about the opportunity in terms of size relative to the traditional enterprise market there? I assume that's more of a niche product for scale AI workloads. And then tied to that, what are the financial model implications or just the economics given that this is a disaggregated offering relative to kind of your traditional system sales?
Charlie Giancarlo: Yes. It's a great question. And I think a little bit of a complex one. So we do believe that the opportunity here is in more niche markets. That being said, the niche markets are things like government sovereign clouds, large-scale GPU clusters for both training and cloud inference sites. And so it can be a substantial market, albeit probably not as large as the entire enterprise market for sure. It is a disaggregated infrastructure where we charge for the metadata node fully, which is fully both our hardware and software. And then the customer can bring their own data nodes or buy them separately, but we do charge for the software on those data notes. So my expectation would be that the margins would be at or above our sand company margins on a long-term basis over time.
Rob Lee: And Mike, this is Rob. I'll just jump in on that. I think if we step back and we look at FlashBlade//XL and where it sits in the overall portfolio and really our AI strategy. Number one, important to realize, this is really building off of the success that we have today with FlashBlade//S in supporting hundreds of customers across various sizes up into including the large-scale enterprise AI. Now what we've done with XL is built-off of that core technology, expanded it with this disaggregated architecture, as Charlie mentioned, now going after and targeting that next level of scale typically found in those GPU clouds, Neo clouds, sovereign cloud and tech tightened type territories.
Operator: Our next question comes from Howard Ma from Guggenheim Securities.
Howard Ma: And it's encouraging to see a solid start to the year despite the uncertain macro. That's actually what I want to ask about. And the question is, we've been trying to figure out during periods of macro uncertainty, especially this year, are you seeing any changes in buyer behavior? For instance, is there a halt on flash storage purchases in lieu of less expensive options? Or are you opting -- or are customers opting more for Evergreen//One, which you kind of alluded to, Charlie, in your script, but I'm not sure if there's a high correlation with macro or just anything else that's interesting to note.
Charlie Giancarlo: Howard, it's been a question we've been asking ourselves and looking into our data quite extensively. It's the obvious question. Are we seeing pull-ins in the market? We have to say from the Q1 results, we didn't see that. Of course, that was through April. I would say that right now, it's really a de minimis amount. If there's a pull in, it's really a de minimis amount. Q2 might be a slightly different story, but I wouldn't -- again, I wouldn't say that it's going to be a substantial amount. We're much -- it's the second half where we have much less visibility just because of the dynamics in the market with both with tariffs, retaliatory tariffs and just the economy in general there's less ability, we believe, to predict the second half. But I would say for the first half or sorry, for the first quarter and probably for the first half, we’re not seeing a significant change either in customer sentiment, or in, actual, substantial, pull-ins.
Kevan Krysler: Yes. And Howard, this is Kevan. I would affirm that with Charlie as well. And I think when you look at the Q1 results, it's broad-based strength across the board in terms of our traditional sales as well as Evergreen//One. So I don't think that we can specifically say Evergreen//One benefited because of the tariff or potential tariff environment. But we do think that could be an opportunity for Evergreen//One over time, possibly. And that's because we're just not planning to increase our subscription rates in the event we incur higher tariff costs. Because we can actually absorb those costs in the operation of our service.
Operator: Our next question comes from Pinjalim Bora from JPMorgan.
Pinjalim Bora: Kevan, sad to see you go, but I hope our paths across again, all the best. One question and might sound like 2 parts, but it's actually 1 part. It seems like TCV Evergreen bookings is doing quite well. RPO growth, CRPO growth seems are fine. It seems like it's bouncing back. So I want to ask you is the Q1 result, Evergreen, is that above your expectations? And are you assuming a bit more headwind to full year revenue? Or are you changing your expectation of TCV bookings for the year that might impact revenue for the year?
Kevan Krysler: Thank you, Pinjalim. Yes, this is Kevan. Look, we're certainly pleased with what we saw in the TCV sales performance of Evergreen//One in Q1. And frankly, we were expecting growth of Evergreen//One coming into the year following, frankly, a record Q4 in Evergreen//One TCV sales last quarter. We did close a larger Evergreen//One deal this quarter that was a little bit earlier than expected, which creates some variability quarter-to-quarter. But I would say that, that doesn't change really our expectations for the year. So with your second part question of expecting a headwind on revenue for the year, and again, while certainly pleased with the sales performance, we would not expect at this point to see a significant headwind to our annual plan and guidance.
Operator: Our next question comes from Mike Cikos from Needham & Company.
Mike Cikos: Great to hear some of the statistics regarding the uptake, whether it's for Portworx or Fusion 2.0 here. Can you help us think about what the Venn diagram would look like if I'm thinking about the customers that are taking Evergreen//One versus the customers that are adopting Fusion in Portworx? Are those relatively lined up? Or is it a little bit more disparate or still too early to call. And I'm just interested in what that adoption looks like for those Evergreen//One customers, typically.
Charlie Giancarlo: Well, in the case of Fusion, let me start with Fusion. In the case fusion is available and just is a part of our -- the software that operates on our products. So it's available both to Evergreen//One subscribers as well as to customers who have purchased our arrays. In the case of Evergreen//One, we do a lot of the operations of those -- because in Evergreen//One, there are arrays on our customers' premise, but we take responsibility for managing them. We will be managing them via Fusion. So it's almost automatic in the case of Evergreen//One. In the case where the customer operates their own arrays, owns and operates their own arrays, that's where, as we mentioned, we have a very large number of that in just those 5 months since we released the second version of it. There are a large number of customers, both either testing or using Fusion. And so we think that what it does is create an environment that makes it easier for them to manage and allows them to manage their data by software rather than through manual processes. So there's a high overlap, I would say, there. In the case of Portworx, Portworx is a separate license from Evergreen//One. So the customers may be the same or they may be different.
Rob Lee: Yes. And Mike, this is Rob. Just to add on to that. I think if we step back from it, when I think about Evergreen//One, when I think about Fusion, when I think about Portworx, at the end of the day, all of these offerings are really geared towards delivering elements of the cloud operating model to customers. In the case of Evergreen//One, Really, this is about delivering a far more agile high optionality mode of consumption and risk reduction in risk offload to customers. When we think about Fusion and Portworx, those are really offering customers a more cloud-based management and automation model. We do expect over time, greater degrees of integration between Fusion and Portworx as we bring those together across both the traditional workload sets with back-end and back-office business applications as well as the more modern cloud-native container-based application sets.
Operator: Next question comes from Jason Ader from William Blair.
Jason Ader: Good luck to you, Kevan. We're going to miss you. The question is the revenue contribution from the 1 to 2 exabytes from Meta in the second half. How does the rev rec work for that? Is it just kind of a pilot and therefore, you're not recognizing revenue? Or have you baked in any revenue contribution?
Kevan Krysler: Yes. Thank you, Jason. There is going to be some de minimis revenue contribution that we've already contemplated in our annual guide. And so we'll see that come through in the second half. And again, our view would be that, that would be a licensing fee model. So you wouldn't see the full gross value coming through. But we certainly have considered that in our guide that we currently have communicated to you.
Operator: Our next question comes from Meta Marshall from Morgan Stanley.
Meta Marshall: Great success with the Evergreen//One portfolio this quarter, and you noted a large deal closing earlier than expected. But just wanted to see if there was an update on kind of some of the larger deals from last year that had flipped -- whether those are kind of contributing to the pipeline this year or just kind of what you're seeing maybe with some of these larger deals and just kind of overall time to close.
Kevan Krysler: Yes. I appreciate that. And look, two quarters doesn't represent a trend for us, but certainly pleased with the strength we've seen both in Q4 and now in Q1. And then I would say it's business as usual in terms of what we've been seeing over the last two quarters with Q4 and Q1. both with the larger deals, which we define as over greater than $5 million tracking as we would be expecting as well as our higher velocity traction continues to be quite solid for us. So hopefully, we can continue that momentum as we progress through the year.
Operator: Our next question comes from Simon Leopold from Raymond James.
Simon Leopold: I wanted to see if maybe you could walk us through sort of a compare and contrast of a project like what you're doing with Meta relative to other projects. In other words, I'm trying to understand why it takes so long. Is it a matter of customization on your part or is it around long test cycles? Or is it things like modifying their own network management systems. I just like a little bit more detail so we can understand the time line better.
Charlie Giancarlo: You bet, Simon. Why is it taking so long? It's the question I keep asking Coz and Rob. No, all kidding aside. The reason is because it's not the testing of our product specifically that's taking a long time. It is their design cycle of their next-generation data center, which goes well beyond just the storage components of it. So this is why we had indicated the sort of the overall time -- and by the way, this will be the same for any of the hyperscalers that we serve. We will have to fit into their design cycle for when they are designing their next-generation design, which might be including us. So it generally takes us somewhere between 18-months and two years to design a new product here at Pure. It's the same for these hyperscalers who are designing their next-generation data center. And so we may be using a chip that already exists, but it doesn't matter. We're not going to be buying those until the full product is designed the same for these large-scale data centers as well.
Rob Lee: Yes, Simon, this is Rob. Just to add on to that. I think Charlie said it well. This goes back to how we originally framed our engagement with Meta in the early days as really a co-engineering exercise and engineering to engineering as opposed to a more traditional sales process. And I think the upshot of that is with our typical sales process, our customer is expecting a pretty much ready-to-go product that they're going to go figure out how to use, integrate into their management processes, but pretty much figuring that they're going to hit the ground running, right? With a co-engineering process, as Charlie mentioned, we are one element of their broader data center architecture and data center design, inclusive of other hardware components, inclusive of their software, et cetera. These are very typical engineering processes and time lines, as Charlie mentioned, and it's playing out as we expected. And if you look at the language of these phases, we've progressed from proofs of concept to really production validation testing. When we think about production validation testing, this is considered production-ready equipment that they are bringing together in the full design and the full solution set, really validating that this is going to work. And ultimately, we see this as really the principal gate to the anticipated 1 to 2 exabytes of shipments of the solution we're expecting in the second half.
Operator: Our next question comes from Asiya Merchant from Citigroup.
Mike Cadiz : This is Mike Cadiz for Asiya Merchant at Citi. So my one question is, would you be able to give us further clarification on how to think about subscription margins given the expected absorption now of any possible higher tariff costs?
Kevan Krysler: What was the last part of that question?
Charlie Giancarlo: Subscription margins in the event of higher tariff costs.
Kevan Krysler: Yes. No. Absolutely. And we've talked about this, right? So in terms of effectively absorbing these costs and the operations of our business and operating Evergreen//One. Look, we're just very efficient with leveraging the technology and purity as well as Pure One of Evergreen//One while at the same time, I think we're going to do -- based on what we're seeing right now, be able to manage tariffs effectively given the agility of our manufacturing footprint and supply chain. So as we sit here today, I would not see a significant burden or impact on our subscription gross margins.
Operator: Our next question comes from Max Michaelis from Lake Street Capital Markets.
Max Michaelis: Just kind of want to go back to the ramping of the investment on the hyperscaler win. Just when we think about future hyperscaler wins, I mean, should we expect a substantial investment going forward for each win or is there some air points or some areas that you've seen where you can find savings?
Charlie Giancarlo: Yes. Thank you for the question, Max. We expect to see leverage, if you will, in our design and investment requirements as we add if -- assuming we add more hyperscalers. I always knock on wood until they actually come in, right? And the reason for that is that there are certain capabilities that are quite fundamental that where Meta is the first. Once we've designed those capabilities, the elements that will need to change for most of the other hyperscalers will be a fraction of -- to add on to that, mostly in the areas of management, some form fit and function but not some of the more fundamental capabilities. One example. As you saw, we're expanding the number of suppliers that we have on the flash side. We have to do testing for each 1 of those suppliers as well as for each different form of chips that we use from those suppliers. We won't have to do that again. That's a very expensive area for us when we're building 150, 300, eventually 600 terabyte drives. Each one of them cost a lot of money, and we have to buy and burn a lot of them in our testing process. That will be leveraged -- that's just one example, but that will be leveraged across all of the hyperscalers.
Operator: Our last question will come from James Fish from Piper Sandler.
Caden Dahl : This is Caden on for Jim. Just a quick one. What did you see linearity-wise throughout the quarter and through May?
Charlie Giancarlo: It was a very typical linearity quarter actually. So we were pleased with it, started off strong, stayed strong through the quarter, nothing out of the ordinary, I'd say.
Kevan Krysler: Probably more to the positive, Charlie, on revenue linearity. And that's why we're actually seeing some stronger free cash flows and operating cash flow and that's why also we didn't get impacted as much from an FX standpoint. So I would say that it's out of the ordinary just into the positive in terms of what we saw in revenue linearity for this quarter.
Paul Ziots: Okay. Before we wrap up, I think Charlie has the final few comments.
Charlie Giancarlo: Yes. Thank you, Paul, and thank you all for joining us on today's earnings call. The platform strategy, as you see, is really redefining what's possible in the data storage and management environment. We're breaking down data silos, we're unifying fragmented storage environments. We're enabling software-defined storage management, and we're leading the shift to modern virtualization. We'd like to share all of this with you in greater detail at our Accelerate conference coming just next month and look forward to seeing you there. We want to thank all of our customers, our partners, our employees and our investors. We very much appreciate your continued support. And thank you, Kevan.
Operator: That concludes the Pure Storage First Quarter Fiscal 2026 Financial Results Conference Call. Thank you for your participation. You may now disconnect your lines.